Operator: Good morning. Thank you for standing by, and welcome to Booz Allen Hamilton's Earnings Call covering Fourth Quarter Results for Fiscal 2015. At this time, all lines are in a listen-only mode. Later, there will be an opportunity for questions. I'd now like to turn the call over to Mr. Curt Riggle.
Curt Riggle - Director-Investor Relations: Good morning and thank you, all, for joining us today for Booz Allen's Fourth Quarter Fiscal 2015 Earnings Announcement. We hope you've had the opportunity to read the press release that we issued this morning. We've also provided presentation slides on our website, and we're now on slide 1. I'm Curt Riggle, Vice President, Investor Relations, and with me to talk about our business and financial results are Horacio Rozanski, our President and Chief Executive Officer; and Kevin Cook, Executive Vice President and Chief Financial Officer. As shown on the disclaimer on slide 2, please keep in mind that some of the items that we will discuss this morning will include statements that may be considered forward-looking and, therefore, are subject to known and unknown risks and uncertainties, which may cause our actual results in future periods to differ materially from forecasted results. Those risks and uncertainties include, among other things, general economic conditions, the availability of government funding for our company services and other factors discussed in today's earnings release and set forth under the forward-looking statements disclaimer included in our fourth quarter and full-year fiscal 2015 earnings release and in our SEC filings. We caution you not to place undue reliance on any forward-looking statements that we may make today and remind you that we assume no obligation to update or revise the information discussed on the call. During today's call, we will also discuss some non-GAAP financial measures and other metrics which we believe provide useful information for investors. We include an explanation of adjustments and other reconciliations of our non-GAAP measures to the most comparable GAAP measures in our fourth quarter and full-year fiscal 2015 slides. It's now my pleasure to turn the call over to Horacio Rozanski, our CEO, and he will start on slide 3.
Horacio D. Rozanski - President and Chief Executive Officer: Thank you, Curt. I'm crushed you did not read us the entire forward-looking statement. Good morning, everyone, and thank you for joining us. Today, Kevin and I will take you through our fourth quarter and full fiscal year 2015 results and how we view them in the context of the current market environment. Then as in recent calls, I'll talk a little bit about progress under our growth strategy Vision 2020 and we will conclude with the outlook for the year ahead. Last quarter, I said that we believe we are seeing the beginning of a recovery in the government contracting market. The numbers we are reporting today reflect that. As you saw in the press release, we deliver solid results in still a very competitive market. We met our upwardly revised guidance at both the top and bottom lines. Our profit margin continued to expand, cash remained strong, funded backlog grew and staff productivity remained high, which is a reflection of the leadership of our senior team and dedication of our entire staff. While the market is not yet growing, the decline is easy, and prices appear to be stabilizing. We know going in that FY 2015 would be a challenging year, which is why we guided to a revenue decline. We did better than we forecasted at the start of the year. And thanks to strong management of the business, our earnings and income declines were smaller than that for revenue. In addition, we retained our ability to invest in new markets and capabilities and we focused on engaging the best talent in the business. We expect the market to strengthen further and are seeing important demand signals already. Our pipeline is robust and we have a significant number of open requisitions to staff-funded work. For the second quarter in a row, we increased head count to meet greater demand, which is something we have been working on since the middle of FY 2015, and we were very pleased to end the year with almost no year-over-year decline in consulting staff. As I've said on last quarter's call, the more stable congressional budget process has given clients greater certainty about their own budgets, which allows them to plan and execute operations that are focused on mission. While it's never possible to predict what congress might do, we are optimistic that this budget stability will continue. So we plan for our business for fiscal year 2016 with the expectation that budget trends will not significantly deviate from what we have seen in the past year, but our planning has never been about what congress might do. Instead, we are focused on the things we can control, and for us, that means delivering to clients the solutions they need to advance their missions. We're holding fast to the strategy we laid out more than two years ago, managing the business smartly, working to take share in the federal space, and investing in a set of new markets and capabilities that will ensure sustainable quality growth for the firm. I will let Kevin speak to most of the details and drivers of our FY 2015 results, but there are two things I wanted to highlight. First, we have delivered another year of adjusted EBITDA margin expansion. We execute our business with a goal of growing the margin by 10 basis points annually. I'm very pleased that we have exceeded that goal every year since our IPO with the margin reaching 9.9% in fiscal 2015 up from 9.7% last year. Second, our funded backlog increased nearly 18% year-over-year to $2.7 billion. That represents a dramatic change from a year ago and gives you a sense of the momentum we are feeling in the market. In fact, the fourth quarter of our fiscal year 2015 was a fourth consecutive quarter or year-over-year growth in the sum of funded and unfunded backlog. The growth rate has been modest but positive. Booz Allen, as always, has been known for consistent execution of our business and our performance in FY 2015 bears that out. The quality of our people, strength of our ideas and deep understanding of our clients' needs fuel our continued success. They also ensure that we return value to investors. Today, we are announcing the issuance of a regular quarterly dividend of $0.13 per share, payable on June 30 to shareholders of record on June 10. In total we have returned $1.46 per share in dividends this fiscal year, which, together with price appreciation, represented a 40.4% total shareholder return over the 12 months ending March 31. Before turning the call over to Kevin, I want to acknowledge the upcoming Memorial Day Holiday. At Booz Allen, we take great pride in supporting the national security mission and we deeply honor the sacrifice of those who have fallen while defending our freedom. In our community service work, we support families of the fallen, veterans and those currently serving in the armed forces. And in our engagement with clients we are fortunate to bring to bear the tremendous skills and experience of thousands of veterans. In fact, more than 30% of our employees have military backgrounds and many continue to serve in the reserves. For the third year in a row, we were named the number one employer for veterans by Forbes Magazine. We're committed to attracting even more former military men and women to our firm as well as serving veterans in need across the nation. Last month, in a major day of volunteering, about 900 of our employers and – our employees and their families, rehabilitated 49 houses in 28 cities, through our National Rebuilding Together sponsorship, repairing homes of veterans was our focus. Our commitment to retired and active service members is deeply ingrained in our culture reaching back 75 years to our first contract with the U.S. Navy. It is a tremendous source of strength and inspiration for us, a point I just wanted to underscore given that May is military appreciation month and the Memorial Day is approaching. So, let me, at this point turn the discussion over to Kevin who will walk you through year-end and fourth quarter results in greater detail.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Thank you. As Horacio noted, we delivered solid performance during fiscal year 2015. Results in line with the upwardly revised guidance we issued in late January. Let me go through the specifics. Please turn to slide 4. Of the 3.7% revenue – decline in revenue, approximately 1.5% is a result of the decline in lower margin billable expenses. The remainder is primarily driven by a very slight year-over-year decline in head count and a resulting decline in billable hours. The very modest decline in adjusted operating income was attributable to revenue declines and was mitigated by improved profitability, reductions in compensation cost and related fringe benefits, and to a lesser extent, by a reduction in depreciation and amortization. The decreased depreciation and amortization resulted from a runoff of higher leasehold improvement cost as we built out our facilities for hoteling. The lower interest expense is the result of the amendment to our credit agreement completed in May of 2014. In fiscal year 2015, adjusted net income declined by $1.7 million or 0.7%. The decline was a result of an increase in the effective tax rate over the prior year. The increase in tax expense was partially offset by a decline in interest expense. As Horacio noted, something we're really proud of is the continued expansion of the adjusted EBITDA margin percentage. The expansion is the result of improved contract profitability including the benefits of strong growth in our commercial and international business. For the year, adjusted diluted earnings per share decreased to $1.60 compared to $1.63 in the prior year. The per share earnings were driven by the same factors as adjusted net income and were also impacted by an increase of slightly more than 1% in the company's diluted share count for fiscal year 2015 as compared to fiscal year 2014. Our recently announced goal of keeping the diluted share count relatively flat over time is generally intended to alleviate the impact of future share count growth. Turning to backlog, the 5% decline in total backlog is due in part to continued compression in the duration of work and the timing of contract transitions and extensions, both of which have contributed to a decline in priced options. It's important to note that we maintain a very pure definition of backlog and only account for value that comes from assigned contract authorized in work. Our reported backlog does not include potential values for – of awarded indefinite delivery, indefinite quantity, or IDIQ contracts. It also does not include any value associated with contracts under protest. In short, a reported backlog represents true potential revenue. Next, let's talk about cash. Cash from operations for the year declined primarily due to the impact of a decline in accounts receivable resulting from lower revenue volume and the onetime payout of a deferred executive compensation plan on the December quarter. These impacts were partially offset by higher contract profitability, declines in compensation-related fringe benefits and the timing associated with estimated tax payments when compared to the prior year. Let me touch briefly on the fourth quarter. At the top line, revenue in the quarter was down approximately $57 million or 4.1%. Billable expenses were down roughly $62 million. The difference is made up by a number of puts and takes related to head count, staff productivity, and the revenue impact of relatively higher indirect spending in the quarter as compared to the prior year period. The increase in fourth quarter adjusted operating income was driven by a decline in depreciation and amortization and improved profitability. The increase in the quarter was partially offset by the volume effect of revenue declines and increased spending on indirect costs such as bid and proposal and overhead activities as compared to the prior year period. The decline in adjusted net income in the fourth quarter was a result of an increase in the effective tax rate over the prior year. The increase in tax expense was partially offset by the increase in adjusted operating income and a decline in interest expense. Adjusted EBITDA increased as a result of the same factors affecting adjusted operating income, excluding the impact of the lower depreciation and amortization expense. The decline in adjusted diluted earnings per share in the fourth quarter fiscal 2015 was driven by the same factors as adjusted net income as well as being negatively impacted by an increase in the diluted share count. With that, I'll turn it back over to Horacio and he's on slide 5.
Horacio D. Rozanski - President and Chief Executive Officer: Thanks, Kevin. Now, as we have done in recent calls, I'd like to highlight a focus area for long term growth of our long term growth strategy. Excuse me. On the Vision 2020, we're building our commercial and international business, and we're investing in advanced capabilities to expand our capacity to deliver innovative integrated solutions to clients. We're also building distinctive business and people models to support these growth platforms. Today, I'll focus my remarks on systems delivery, which is the development of the deployment of complex information technology and related systems. We've built a substantial business in this area and already are well known for expertise among many clients. The market for systems delivery work is primed for growth because three converging trends are changing how and why clients buy software-centric systems. First, clients are facing rapid technology innovation in areas such as cloud, big data and mobility. Second, developers are using more advanced methodologies and third, there is significant amount for faster deployments. Our clients face challenges in adjusting to this new reality and in understanding how and where to apply innovations and systems delivery to their mission needs. While traditional software development services are commoditized in some parts of the marketplace, delivery of a mission-critical system in today's environment requires a broader set of capabilities which is tailor-made for Booz Allen's 100-year consulting heritage. Mission-critical systems are those which tied directly to the strategic objectives of the organization or agency. Successful delivery of these complex systems require a consultancy but not only has the technical depth or expertise to write and test code but is intimate with the client's mission requirements, understands the change management aspects of large programs and can deliver with predictable results. This is a space where Booz Allen has a differentiated offering. To win a greater proportion of our clients' mission-centric work, we focus on further standardizing processes across all of our systems delivery work. We're also investing in our Systems Delivery talent, emphasizing workforce management, training and collaboration. Right now, our Systems Delivery work spans more than 260 projects and is supported by staff across civil, defense, intelligence and commercial markets and we already see a robust and growing pipeline for our Systems Delivery work in the future. Let me give you a few examples of the work that we're doing in this area. First, under $64 million five-year contract awarded in 2014, we will build for the general services administration a platform that modifies and unifies 10 separate systems, which are used to award and administer federal financial assistance contracts and inter-governmental transactions. This significant award is a testament to our cloud and open-source expertise. And it's right in the sweet spot of where the IT market growth is headed, towards mobile technologies, cloud and big data. Another example for the Veterans Administration, we're working to develop new features for the Veterans Benefit Management System. With this new digital claims processing system, the VA has been able to scan hundreds of paper documents at a time, digitizing and securely storing the records. By supporting new capabilities on the system, we're helping the VA meet its mission critical goal of completing all pension claims within 125 days with 98% accuracy. At the same time, the new system will be more reliable for the more than 14,000 users who process claims. This work is also a sweet spot for government IT growth as its core focus is digital government and the digital citizen. And we also won an important piece of work for the Army Training and Doctrine Command or TRADOC to provide architecture and Systems Delivery services and maintain the Army Capability Architecture Development and Integration Environment or ArCADIE. ArCADIE is a key component with the army's net-centric vision because it ensures that architecture data is accessible, trusted and institutionalized across the departmental defense and amongst many interagency partners. So, we believe the combination of this new more rigorous standards across the business, a stronger staff and the proof points of work in the most important areas of IT growth will expand Booz Allen's brand as a living Systems Delivery player in the next coming years. With that said, let me now turn the call back to Kevin, and he'll provide our guidance for 2016.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Thanks, Horacio. Let's turn to slide 6. As we stated a number of times today, the market for Booz Allen services has improved. As a result, we expect the revenue declines we've experienced in the past two years to shrink further and perhaps end. For fiscal 2016, we expect revenue to be roughly flat with a range of 2% growth to a 2% decline. At the bottom line for the full year, we are forecasting diluted earnings per share to be in the range of $1.55 to $1.65 and adjusted diluted earnings per share to be on the order of $1.60 to $1.70. This guidance includes the impact of a unique one-time challenge that we're facing this year. Our Survivability/Vulnerability Information Analysis Center or SURVIAC contract is our largest IDIQ contract and in fiscal year 2015, accounted for roughly 12% of our gross revenue. The contract expires on July 8 with a small number of tasks extending beyond that date, the latest ending in September of 2016. Although we have historically won the recompete for this contract, in this case the contract is ending and is being replaced for a set of new multiple award IDIQ vehicles. This is likely not a process where all of the task orders will flow seamlessly to new contracts. Booz Allen has positions on a number of other vehicles that can support the work we do on SURVIAC, and we've been working for well more than a year to position our work on these other contracts. That repositioning is going well, but we won't know the full extent of our success until we get through the end of our second quarter at the end of September. You've often heard us describe the fact that we manage our business on an annual basis and manage spending to ensure we deliver the proper ratio of indirect cost to direct labor on an annual basis. Our highly variable cost model allows us to adapt our spending profile to changes in the environment and can therefore result in variability in the quarterly margin profile. As a result of both higher bidding and proposal activity related to this one-time transition and our intent to execute a more consistent spending profile for our capability building investment activity during the year, we expect a more balanced margin profile this year. In our fiscal year 2016, while we expect overall margins to increase, we expect relatively lower margins in the first half and relatively higher margins in the second half as compared to the margin trends that we've driven in the prior two years. As I said a moment ago, our guidance for fiscal year 2016 already includes the expiration of the SURVIAC contract with the potential for a $100 million to $200 million revenue reduction as a result. It also acknowledges that there will be some unevenness in the market even as conditions improve overall. At the same time, our guidance reflects the strengths of our business, including excellent performance in our growth platforms, our innovation agenda, and growing client interest in the new integrated solutions we have to offer. We are optimistic that our growth strategy will lead to a sustainable quality growth, and we will continue to execute the business well to create value for our employees, our clients, and our shareholders. Now, we'll turn the call back to Curt, so we can move to the Q&A portion on the call.
Curt Riggle - Director-Investor Relations: Great. Well, thank you, Kevin and Horacio. Shannon, at this point, can you provide the instructions for the Q&A portion of the call?
Operator: Thank you. Our first question is from Carter Copeland with Barclays. You may begin.
Carter Copeland - Barclays Capital, Inc.: Hey. Good morning, gentlemen.
Horacio D. Rozanski - President and Chief Executive Officer: Good morning, Carter.
Carter Copeland - Barclays Capital, Inc.: Quick question for you, Kevin, on the guidance and just your expectations for cash next year. Obviously the cash conversion was very strong this year, almost 130%. I wondered if you were expecting that to moderate. And if so, maybe give us a little bit of color around how much. And then as a second question, I know, Horacio, you've talked about targeted investments and capabilities and M&A on this call, in prior calls and I wondered if you might tell us how – what the pipeline of opportunities look like today and if there's things out there that you can do on the near-term horizon. Thanks.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Hey, Carter. It's Kevin. I'll answer the cash flow question first. We think FY 2016 will be very similar to FY 2015. Somewhere, Curt and I have generally guided people, there's roughly 120% of adjusted net income conversion and we think that's a good benchmark to use for FY 2016 as well.
Horacio D. Rozanski - President and Chief Executive Officer: I guess on the second part of your question, Carter, we have continued to invest heavily in our growth platforms, and if you look at the results of the fourth quarter and the head count growth, we are now starting to hire ahead of demand in some key areas because we feel that those growth opportunities are there. We continue to actively look outside to see if there are other things we can do that make sense. They need to fit with our strategy, they need to fit with our culture and they need to be priced in a way that we are confident that the economics make sense for our investors and our shareholders and for us. And so, that's the plan, that's what we're executing consistently as we always have.
Carter Copeland - Barclays Capital, Inc.: Are you seeing more opportunities organically rather than inorganically at the moment?
Horacio D. Rozanski - President and Chief Executive Officer: We're always focused on organic growth. I mean, that's what fuels not just our financials but it's what fuels our culture and the excitement for our people. This would attract the best people to Booz Allen and gives them the opportunities they want to have. And so that's what drives our thinking always. Our thinking on M&A is if there are key things that we could acquire that would accelerate over time our organic growth, that's where we're going to be focused on. I don't know how to say, there is – it's not like I keep saying that there's three of these and one of those were – it's really all part of one picture, and in some ways, when we look at M&A, we're looking at make versus buy, we want to build this capability ourselves or is it faster and more economical to buy it in the market if there's a high quality one out there. So, that's been our thinking and that's how we're playing.
Carter Copeland - Barclays Capital, Inc.: Great. Thank you.
Horacio D. Rozanski - President and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Robert Spingarn with Credit Suisse. You may begin.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Hey. Good morning, guys.
Horacio D. Rozanski - President and Chief Executive Officer: Good morning.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Good morning.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Kevin, going back to your comments on the guidance and on SURVIAC, it looks like without that, you would be 3% higher in terms of sales growth. So do we think about the two ends of the revenue range, addressing SURVIAC, the low end? If you lose that $200 million or $100 million to $200 million on the high end, you don't, or is there another way to think about that? And then the 3% growth that would be there otherwise, I suppose, how should we think about that in terms of volume versus pricing, versus – and then I have a follow-up.
Horacio D. Rozanski - President and Chief Executive Officer: That was just one question?
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Yeah. A long, winded way of asking you how we think about the organic growth at SURVIAC?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Rob, I was hoping somebody was going to do the math on that, so thanks. You're right. I believe that without the SURVIAC headwind, we would have a net growth plan. We've – Curt and I, and Horacio have been talking to folks for a while now about how we're positioning the firm. We feel good about the opportunities in front of us. And the growth that I'm giving – that range, minus 2 to plus 2, does not include any inorganic assumptions. It's all organic at this point.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): And again, the part – ex-SURVIAC the growth that you're getting, is that some combination of pricing stabilizing and volume rising? And I think volume has got to rise, right. You've got head count up, but if you could talk a little bit more, either you or Horacio on the effect of pricing and competitiveness since you mentioned it both in the release and in the monologue?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Yeah, we'll tag-team that one, Rob, pricing has stabilized. You're probably aware of a recent DoD memo that stated that LPTA really wasn't appropriate for a lot of contracts that were being awarded that way. It will take some time for that memo to work its way through but we're already seeing and have been seeing for a while, agencies not awarding under an LPTA theory especially when it comes to mission-critical work and obviously that plays to our strength. We deliver high-quality, mission-critical services and the clients know that and I think they feel empowered to award on that basis at this time.
Horacio D. Rozanski - President and Chief Executive Officer: And I would say from a market perspective that the rapid decline in prices that, that we saw over a couple of years, certainly have eased. But I think clients are still – budgets are tight and they want to get the most value for their money and you have to price intelligently and aggressively to get the work. You have staff the work, so you can do it with high-quality but not put over-experienced staff or too many people on things that don't require it. And those dynamics are – I don't think those are going to change. I think those are here to stay. The – we have been able, as you saw, to manage through all of that while retaining the margins in the core business, on expanding margins in some areas. And so that's what we expect to see continue and in some parts of our business where we're seeing growth, it's head count growth, it's volume growth and that's sort of the story as it's playing out.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): So, do you – Horacio, just to tie the loop on this, do you see any shakeout here in some of the more commoditized areas of the business if there are any left after the last few years of change? Are there some areas you might find there's too much competition, too many people coming in and it just doesn't make sense anymore?
Horacio D. Rozanski - President and Chief Executive Officer: I think, there's parts of the market that are very, very competitive. And I think the market overall is a lot more competitive than it used to be. And like I said, I don't think that's going to change. I think there are parts of them – I think the overall market, if you sort of went through – and I haven't done this precisely, but in general terms, if you add it up, everybody's guidance, and sort of took the weighted average, it would say the market is still declining, but much more slowly than in the past. And we have, I think, successfully against that benchmark, taken share every year and we expect to continue to do that.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Okay.
Horacio D. Rozanski - President and Chief Executive Officer: I think there's parts of the market that are, like I said, are hypercompetitive and will continue to be hypercompetitive. And I think on the – and there's places where LPTA still makes a lot of sense, always made a lot sense and I think will continue. And there's places where the pendulum swung too far and we're seeing a return to best value and that's – hopefully that's the sort of the rational market that we will see for years to come.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Thank you.
Operator: Thank you. Our next question is from Bill Loomis with Stifel. You may begin.
William R. Loomis - Stifel, Nicolaus & Co., Inc.: Hi. Thank you. Good morning. Just asking a little more about SURVIAC, a little over $600 million that you had in the revenues last year. You said $100 million to $200 million potential impact this year. What's going on with the rest of that, have you re – is that the task don't expire this year or have you repositioned already on other vehicles?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Hey, Bill, it's Kevin. It's a work in process. You may or may not know, but there were three follow-on contracts that were awarded. The Defense Systems MAC, the Homeland Defense MAC and a contract called SNIM. So, we have positions in all three of those IDIQ contracts. Some of this work may also find its way onto the Oasis GSA contract that we were one of the winners on last year. So, some of the work is moved into those contracts. There's other BPAs in some of the agencies where we've been doing work that we may move work to. So, if you can consider one contract that's got literally hundreds of task orders, we've been busy for, I'd say, well over a year working with our clients to move that work to other vehicles whether it's the three or four I mentioned or agency specific. The reality is though that in some cases, a client may just decide to end the task. There may be small business requirements in some of these contracts. Clearly, it'll be competitive as opposed to sole source on SURVIAC. So, that's one of the reasons that we're anticipating some amount of revenue reduction. But I can tell you that the team is working this, has been all over this and we'll continue to be all over this all the way through the end of the government fiscal year.
Horacio D. Rozanski - President and Chief Executive Officer: And if I can make an additional point. I think we – one of the things we do, and I think we do well is we anticipate issues and we swarm them. And our Defense and Intelligence Group led by Joe Logue and our Business Development Group led by Robin Portman have been working this for a very long time, and I couldn't be prouder of the work that has been done. If you think about the massive amount of work that's there, spread across the federal government into lots of task orders, the fact that there's going to be some disruption when all of these things move and they won't all end on the same day or start exactly the next day than they end, I think a lot of this is a story of outstanding execution, and it's a story of our teams having excellent relationships with the technical clients and with the contracting clients, and looking for the right way to continue serving our clients in the face of the end of this contract.
William R. Loomis - Stifel, Nicolaus & Co., Inc.: Okay. And just as a follow-up, a couple of things. So just to be clear, you haven't lost anything in terms of the reorganization of the SURVIAC into – and IACs into these three different IDIQs, you have positions on all of them. So it's not like somebody won the surviving SURVIAC – following SURVIAC IDIQ. I just want to be clear on that. And then the second point, doesn't this, obviously, also mean that you can win other contractors' business that was sole sourced under SURVIAC for many years? Is any of that factored in your plan? Thanks.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Well, Bill, I'm glad you're asking for the specifics on this. We did not lose a recompete. The contract is ending, as are many other IAC contracts spread across the industry. As far as other people doing work on SURVIAC, it was sole sourced to Booz Allen, so there weren't other people that had worked on that contract. However, we will continue to take work from other people and other vehicles.
William R. Loomis - Stifel, Nicolaus & Co., Inc.: Right, on the other IACs, I meant, not SURVIAC, but you'll be able – that opens up for competition for you guys as well from some of the other IAC contractors.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Absolutely.
William R. Loomis - Stifel, Nicolaus & Co., Inc.: Okay. And I mean, have you factored that, those potential wins in your guidance as well to make up for some of the potential losses to small business or ending task orders or is that all potentially upside?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: I'd say that it's – to the extent that any of those get awarded in our fiscal year 2016, it would probably be upside. But it's hard to quantify that, Bill, because they don't all end at the same time, although they're in a reasonable range of ending. And you don't know what the procurement process is going to be, so we've tended to not try to count our chickens before they hatch in their regard.
William R. Loomis - Stifel, Nicolaus & Co., Inc.: Okay, great. Thank you.
Operator: Thank you. Our next question is from Cai von Rumohr with Cowen and Company. You may begin.
Cai von Rumohr - Cowen & Co. LLC: Yes. So, you mentioned that you hit the middle of your earnings guidance but this is the first time in memory that your EPS didn't beat consensus. I mean, and then it's going back like 18 quarters, was there any impact from the SURVIAC contract ending on the quarter in terms of higher bid and proposal? And how should we – you mentioned lower margins in year-over-year in the first part of the year. How should we think about the margin profile sequentially over the year?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Well, let me address the first question first, Cai. The difference between the $1.63 we delivered in FY 2014, and the $1.60 we delivered in FY 2015 is easily explainable. We had a – even though we had a 3.7% revenue decline, we had $0.035 of impact evenly split between a tax rate increase from 39% in FY 2014 to 39.7% in FY 2015. And the increase in the share count. Other than that, we were spot on what would've – what I think was guidance. But when we started the year, I think it's important to remember, we had a range of $1.50 to $1.60, and as we got later in the year, we narrowed that range to $1.58 to $1.62, and we hit the midpoint. So while you're correct, we did not make consensus. We feel pretty good about the fact that we delivered right as we said we would in the third quarter. Relative to SURVIAC, we are seeing a lot of bid and proposal. It's pretty much been in the first quarter here, as oppose to maybe the fourth quarter. You also remember on the third quarter call that I talked about we were going to heavily invest in our growth platforms in the fourth quarter, and we did that. We tend to do what we tell you what we're going to do, and that's what brought us to the $1.60. I'm trying to remember the second question you asked me.
Cai von Rumohr - Cowen & Co. LLC: Okay. So another question on SURVIAC. If – so you're going to lose $100 million to $200 million, so it's essentially 15% to 30%. I assume you don't lose any of that in the first quarter since the contract goes pretty much through the first quarter. Maybe give us a sense of the revenue profile over the year. Is all that $100 million to $200 million in the back part of the year? And therefore, if we're going to have a flat year. I mean, is it back-end loaded, front-end loaded? Any help you could give us would be great.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Well, Cai, you know you worked with us long enough that we don't give quarterly guidance. I will come back and answer the second part of your question earlier which is the margin side. I'll try to give you some color on that. But from a revenue standpoint, remember that most of these past quarters end on July 8, so I'll focus you on that date, relative to the margins, in the last two years, we have managed the business very tightly. And we've delivered probably close to $1 of the $1.60 round figures in the first half versus the full year. Because of the business proposal in the first quarter, specifically around SURVIAC and our desire to even out the flow of the investment spending and our new capabilities in growth areas, we're going to pull some of that costs forward out of our second half into our first half. And I think last year, Curt said something along, we hope that the highs will be lower and the lows will be higher. So, I would – from a margin perspective, I would expect in our first half to be a bit lower than we were last year, but the second half should be a bit higher because we will hold some of the spending forward.
Cai von Rumohr - Cowen & Co. LLC: But how will they be – how will the first half be relative to the second half?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Well, I guess I've – I'd say it's going to be more – it will be closer to flat than it's been on the prior years. But I'm...
Cai von Rumohr - Cowen & Co. LLC: Okay. That's helpful. That's it for me.
Horacio D. Rozanski - President and Chief Executive Officer: I think, Kevin, sorry, but if I may use this opportunity to emphasize a point, one of the things that I think we have always tried to do well is match the rhythms of our client base. And as budgets begin to stabilize, the rhythms of our client base are also beginning to stabilize. Over – it used to be – back in my youth, that the selling season lasted four or five months, and then in the last couple of years, the selling season lasted only eight weeks because the budget uncertainty was such that everybody held on to the last minute. If there was any budget to be spent, it was going to be recalled, how those going to work and so forth. This year, the possibility – I wouldn't place a bet on this, but there's a possibility that as things beginning to stabilize, the selling season will begin to lengthen and strengthen again. And that's why Kevin keeps saying, we manage the business to an annual basis is because we're going to spend of the time that we think is most optimal with our acquired head count or right BMP or do what we need to do to support our clients and to support the business, and in some ways without sounding cavalier that sort of the quarterly numbers will come up where they do. I think you would want us to do that as opposed to the other way around, but that's certainly – our commitment is we're trying to maximize against the demand pattern, and that is influx.
Cai von Rumohr - Cowen & Co. LLC: Thank you.
Operator: Thank you. Our next question is from Jon Raviv with Citi. You may begin.
Jonathan Raviv - Citigroup Global Markets, Inc. (Broker): Hi. Good morning. Kevin, just a very quick clarification. Margin overall for FY 2016, are you suggesting flat for the year or still looking at 10 basis points?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: The flat was more the profile quarter by quarter that Cai was asking about. We are still committed to the goal of increasing our adjusted EBITDA margin at a minimum 10 basis points year-over-year.
Jonathan Raviv - Citigroup Global Markets, Inc. (Broker): Great. Got it. Thanks for that. And then pulling back a little bit, on cash deployment priorities at this point in the cycle, you're sitting at what looks to be on some excess cash. Is there an opportunity to drop share count here perhaps and that could provide some upside to guidance? Are you saving up for a potential M&A? And in the case of M&A, you talked about it earlier, what would your potential bite sizes be, where you see holes in your portfolio?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Let me talk about the uses of cash, and then Horacio and I might tag team your second – the second part of your question. Relative to cash, I don't believe we're going to – well, could you repeat the question?
Jonathan Raviv - Citigroup Global Markets, Inc. (Broker): Yeah. It just seems like you have about $100 million of excess cash. I mean, what are your priorities at this point? Any opportunity to drop share count perhaps and what would M&A bite size look like?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Yeah. Okay. Yeah. I'm not sure I agree with our characterization of excess cash, but we'll set that aside. And I will tell you that we did announce recently, I think it was on last quarter call, that we wanted to try to keep our share count flat. I don't think I'm willing at this point to say we're going to go any further than that. Our uses of cash still remain obviously operating cash followed by recurring dividend, followed by M&A, followed by special dividend, share repurchase, and then repayment of debt. I will say if interest rates were to spike, which I don't anticipate over the next six months. But if they were, then we take a look at whether paying down debt might make a little bit more sense given our debt structure. But for now, those are the uses of cash. We've been very consistent in that. Relative to M&A, we are very disciplined when it comes to M&A. We're looking for the criteria that Horacio mentioned earlier about adding capabilities that can be a force multiplier across our entire client base. Reasonably priced. Again, we don't want to get – we don't want to buy something for nothing, but some of the multiples that we're seeing we can't quite get our head around, to be honest with you. And then maybe even most important it has to be a really good cultural fit which as you know can make or break an integration. As far as gaps, I would say that we continually look at our growth platforms specifically. And almost all of them could benefit from some level of inorganic capability but at the same time we have to be more selective. We can't possibly in FY 2016, at least in my opinion, try to add capabilities in every one of those growth platforms. So we're going to have to look at what's coming at the market, companies that were trying to interact with before they come to the market and the potential impact on the business for each of those potential acquisition.
Jonathan Raviv - Citigroup Global Markets, Inc. (Broker): And then just a really brief follow-up on SURVIAC, it seems that you have obviously a larger sole-source IDIQ being broken up into smaller ones. Is there any risk in any other parts of the business that this happening? Is this an overall trend in the market that we might be seeing?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: No. I think at any given time, I could point to a number of examples over the years where contracts have been combined into a larger contract. So, I think that the government is just trying to move away from these sole-source IAC contracts and move all the work into a competitive environment. I think it's just that simple.
Horacio D. Rozanski - President and Chief Executive Officer: With your question, we talked about SURVIAC this time even though we generally don't cover details of our contract base because it's pretty much a one-time only occurrence in terms of the size and the fact that it's ending, it will be re-competed and the challenge is associated with moving the work on to other vehicles and all of that. I think that's – we don't foresee or see anything else in the portfolio that is anywhere near either that magnitude or that level of logistical difficulty.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: And in fact, the next biggest contract we have is roughly 3% of gross revenue, and it's – it was a single-award contract, it was a 10-year contract. So it's – to Horacio's point, there's nothing other – no other material contract in the portfolio that would have this kind of an impact.
Jonathan Raviv - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: Thank you. Our next question is from Tim McHugh with William Blair. You may begin.
Tim J. McHugh - William Blair & Co. LLC: Yes. Thanks. Just want to come back to your comment which I think is fair that the broader market is more stable in terms of pricing, I guess. How should we think about though as you move off of a sole-source contract and to competing more, I guess, in multi-source contracts? What's the risk that I guess you see more competition on the revenue that replaces what you're getting through SURVIAC in the past?
Horacio D. Rozanski - President and Chief Executive Officer: I think first of all, whatever challenges we see are all baked into the guidance and into the numbers. So we don't think there's anything beyond that. I will share with you – if we separate things, you have the question of multiple wrap rate, whatever, and the question on margins, we are confident that the margin profile is not going to be affected by this in the multiple side. We know how to manage within our rates, and fully expect to do that.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Tim, I would also add that we've been competing, I think back in the 1990s – 1980s and 1990s, maybe there was a lot of sole-source work, but it's a rare occasion these days to obtain a sole-source contract. So it's not like we're not competing everyday for every piece of work that we win. And so we'll just add this to the hopper and compete as effectively as we always do.
Tim J. McHugh - William Blair & Co. LLC: Okay. And then I guess key numbers, one, the tax rate for next year is stepping up. Is that the more sustainable rate or is there some unusual items and how should we think about head count, what's your plan for kind of growing the head count next year?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Relative to the tax rate, the way the federal government has been authorizing some of these tax credits, has been waiting until November-December of the year in which they relate. So, for example, the R&D tax credit, I think last November-December, they finally authorized it for calendar year 2014. They have not authorized that rate or passed that rate, R&D rate, I should say, for calendar year 2015. So, therefore we're not assuming that in our tax rate, I think there's a good chance that they will, in which case that tax rate may drop later in the year. But that's really the primary driver, we haven't either qualified for some of the state credits because we haven't done the analysis yet or the laws haven't been passed to reinstate these tax credits. So, right now we're saying if none of that were to happen, we'd be at 40.7%, I would hope that we'd be able to bring it down if these laws are passed.
Horacio D. Rozanski - President and Chief Executive Officer: On the head count side, it's Horacio, that – what I would say is we feel good that we have built the head count we need to go into the year and capture the opportunities that we see in front of us. We feel good now about our ability to recruit aggressively and even ahead of demand in places where we feel growth is imminent and then manage the business very well in places where we don't think we have growth opportunity. We've, in essence, built a bench on the places that we think we need one. And so, I would not expect to see – that's our general posture as to what's going to happen specifically, it's going to be driven by how we see demand evolve during the year.
Tim J. McHugh - William Blair & Co. LLC: Okay. And I guess, just, Kevin, a follow-up. What's the impact if the R&D tax credit was approved relative to that 40.7%?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: I think if all of the tax credits and federal and state were realized, we'd probably drop something – to something close to where we ended this fiscal year.
Tim J. McHugh - William Blair & Co. LLC: Okay. Thanks.
Operator: Thank you. Our next question comes from Steven Cahall of Royal Bank of Canada. You may begin.
Steven L. Cahall - RBC Capital Markets LLC: Yeah. Thank you. Good morning.
Horacio D. Rozanski - President and Chief Executive Officer: Good morning.
Steven L. Cahall - RBC Capital Markets LLC: Maybe first question on the end markets of the revenue. I think you typically put in the K a breakout of revenue by end market. So, if that's coming ahead, I was wondering if you could just give us what the dollar or the gross rate was for defense, civil, intel, government, commercial. And maybe also some color on just how each of them trended as we got into the back half of the year.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: I tell you what, Steve, I'm looking through the K, I'm trying to find it. One number I've been expecting someone to ask, which I'll start with that, while I try to find the rest, is that our commercial/international business for FY 2015 ended up being 3.2% of gross revenue, which is an 18% growth year-over-year. So, we – I tell you what. If you have another question, you better ask it, so I can find it.
Steven L. Cahall - RBC Capital Markets LLC: Yeah. Sure, then maybe while you take a look at that one, a question on the balance sheet. So, that is a low priority for capital allocation. Not a lot of debt coming up this year, but quite a bit coming I think in 2017 and 2018 if I've got my numbers right. So, if we look out a couple of years, it looks like the balance sheet gets significantly delevered. So, I'm just wondering if you have a target leverage ratio, and how you're thinking about the balance sheet over the next few years, and if you can maybe throw in some color on how you're thinking about floating rate debt as you get into those maturities as well?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Sure. Relative to floating rate, in December of last year, the board of directors approved a hedging program. So, we're ready to go if interest rates were to spike. I don't, again, anticipate that maybe over the next six months, but we are prepared to fix a reasonable portion of that debt if we think we're going to see an extended period of rising interest rates. Relative to the structure, we're pretty comfortable with the structure right now. I mean, we think that there could be any number of large M&A transactions over the next year and if we were to pursue one, and actually win one of those auctions, if you will, we might consider redoing that debt structure. It's also a good time in the credit market from what I'm being told, there's a lot of supply and not a lot of people out trying to refinance or extend. And we look at that every quarter and assess where we are versus what's going on in the market, and near term cash needs, and decide whether we want to pursue anything at that time. So, we'll continue to do that going forward, and we're very comfortable with where we are right now.
Steven L. Cahall - RBC Capital Markets LLC: Maybe to ask that one another way, if you look out to those maturities for a year or two, maybe excluding anything that may happen on M&A. Does it make more sense to pay those down and carry a lower leverage ratio? Or does it make more sense to refinance those and keep closer to the ratio you've had historically?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Well, to refinance, we would likely pay at or above what we obtained last May. So I don't know that I'd want to do that unless there were some basis point improvement there. Right now, per our credit agreement, we're roughly about 2.8 leverage. I mean, we're comfortable up to – even without M&A up 3.2, 3.5, based on the cash flow that we generate every year. We could go higher if we needed to do so for a large deal, but right now that's – we're not anticipating having to do that.
Steven L. Cahall - RBC Capital Markets LLC: Right. And then is it fair to say that the guidance for the year includes the flat share count that you've been talking about?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Yes, it does.
Steven L. Cahall - RBC Capital Markets LLC: Okay. And hopefully that's enough time for Curt to dig up the numbers?
Curt Riggle - Director-Investor Relations: Yeah. So, let me give you the numbers. So the defense in 2015 was – a little over 48%; intelligence, almost 25%; and about 23.5% for civil. So civil grew, the defense and intelligence had some decline and the commercial/international at 3.2% was an 18% growth.
Steven L. Cahall - RBC Capital Markets LLC: And is SURVIAC in defense?
Curt Riggle - Director-Investor Relations: No, it's across. And it was...
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: It's primarily in defense and intel. There is some civil but it's a small part.
Steven L. Cahall - RBC Capital Markets LLC: Great. I appreciate that. Great. Thank you.
Operator: Thank you. Our next question comes from Edward Caso with Wells Fargo Securities. You may begin.
Tyler J. Scott - Wells Fargo Securities LLC: Good morning. This is actually Tyler Scott on for Ed. Thank you for taking my question. Maybe just to go back to the civil side of the business. You said that, that grew on the quarter. Could you break down what you're seeing in terms of the trends on competition and pricing and decision cycles on the civil side versus defense and intel?
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: First, I would say that the numbers that Curt read are for the entire fiscal year 2015. Relative to the civil market, there is, I would say increasing competition. Specifically, I would say in the healthcare market. If you look back over the past year, it seems like every time I pick up the paper, I'm reading about one of the aerospace companies or one of our government services competitors picking up a health analytics company, health IT company, et cetera, et cetera. So I would say that the competition is significantly increased in the healthcare market. That said, we have a long term set of relationships in that market. We've been delivering for those clients for decades, and we would expect to continue to grow our position there. The additional point I would make is I tie it back to a lot of what Horacio said. We do – earlier in his remarks, we do a lot of software development in the civil market, and that showed an increase in our fiscal year 2015 which helped us, on a net basis, grow year-over-year.
Horacio D. Rozanski - President and Chief Executive Officer: Let me maybe piggyback on that and make a – perhaps a broader point which is even at the description of defense, civil, intelligence as end-markets, they're much more fragmented than that. And we don't run our business and we don't think about running our business as much that way, and the numbers in the K and the numbers in the Q, of course, they're precise, but the issue – the challenge and the opportunity for us is to find the places where we think there's going to be opportunity for sustainable quality growth and to apply resources from all of the enterprise to those areas. And so, regardless of the end market, it is often people and investment and capacity from one part of the business that isn't necessarily dedicated to that end market that helps create the growth opportunity, be it the strategic innovation group coming in through one of these markets to help and drive growth, be it a capability and talent from our defense and intelligence group coming into to support an opportunity in civil, it could be people that do system's development in the civil market that come in to support an opportunity in defense. And that's, to us, the better segmentation, is are we investing our time and our effort on the places where we can generate sustainable quality growth at the – not even the market level, not even the agency level, but at the program level inside those agencies than to look at it in the sort of the more macro way.
Tyler J. Scott - Wells Fargo Securities LLC: Great. Thank you for that. Just on my follow-up, I know we talked about the budget process getting a little bit more normal, but we've also been helped by the budget compromise to the last two years. Do you expect or do you think your clients are expecting any impact if OCO funding is used to offset sequestration budget pressures as opposed to a more formal raise in the base budget? Thank you.
Kevin L. Cook - Senior Vice President, Chief Financial Officer & Treasurer: Yeah, Tyler, it's Kevin. I'm sure they prefer to see the base budget go up, but at the end of the day, I think there's a greater comfort level that we won't see a government shutdown and that the budgets will be – the base budget will probably remain fairly flat. And so, I think they're – Horacio said it earlier, we're seeing some maybe early bid and proposal activity, not only for SURVIAC, but for other work that usually start later in the summer. So I think that – what that tells us is there's a greater comfort level with our clients that this budget process, although without – there will be speed bumps along the way, it will resolve itself in the fall. We may very well start with a continuing resolution. But then, work through that sometime between October 1 and the holidays. So I think there's a comfort level there now.
Operator: Thank you. This concludes the Q&A session. I would like to turn the call back over to Horacio Rozanski for closing comments.
Horacio D. Rozanski - President and Chief Executive Officer: First of all, thank you for the conversation. As I indicated at the outset, we're proud of the strong performance that the people of Booz Allen continue to deliver in the market, that is still very competitive. We're fully focused on expanding and strengthening our business so we can achieve sustainable quality growth. And by re-imagining our business, and what we can bring to clients across the government, commercial, and international markets, we believe we can create tremendous opportunity for our people and continue to deliver strong results for our investors. That's our focus, that's what we're doing. Thank you again for joining us this morning, and enjoy the Memorial Day weekend.